Operator: Good morning and thank you for attending today’s CubeSmart Fourth Quarter Earnings Call. My name is Jason, and I’ll be your moderator for today’s call. [Operator Instructions] I would now like to pass the conference over to Josh Schutzer, Vice President of Finance with CubeSmart.
Josh Schutzer: Thank you, Jason. Good morning, everyone. Welcome to CubeSmart’s fourth quarter 2021 earnings call. Participants on today’s call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer. Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental operating and financial data is available under the Investor Relations section of the Company’s website at www.cubesmart.com. The Company’s remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from these forward-looking statements. Risks and factors that could cause our actual results to differ materially from forward-looking statements are provided in documents the Company furnishes to or files with the Securities and Exchange Commission, specifically the Form 8-K we filed this morning, together with our earnings release filed on the Form 8-K and the Risk Factors section of the Company’s annual report on Form 10-K. In addition, the Company’s remarks include reference to non-GAAP measures. A reconciliation between GAAP and non-GAAP measures can be found in the fourth quarter financial supplement posted on the Company’s website at www.cubesmart.com. I will now turn the call over to Chris.
Chris Marr: Thank you all for joining us at the end of what has been a very unusual and turbulent geopolitical week in our world. We are proud to announce our fourth quarter and year-end results last evening. It was an extraordinary quarter for our company, wrapping up a truly memorable year. Our strong operating fundamentals continued in the fourth quarter. Sequentially, from the third quarter, we grew realized rent 170 basis points, posting 16.1% growth. We were all alone at the top of our sector in generating sequential same-store revenue growth, gaining 20 basis points from our third quarter results. All of our markets continue to perform well. Pandemic-induced trends seem to have normalized first in the Acela corridor. Our outlook for 2022 assumes a gradual return to more traditional seasonality across most of our markets. In my 27 years in our industry, 2021 stands out as one of, if not the most remarkable periods I have experienced from all aspects of our business. Many of our customers inform us that they wish to be served in a more personalized manner than we have historically. Our teammates desire more flexibility in how and where they do their work. Operating fundamentals across all metrics surpassed previous record highs. Investment opportunities were the most plentiful I can recall, seemingly surpassing even the 1994-1997 period of rapid consolidation in the post-RTC world. Attractive debt and equity capital was readily available to fund that external growth. Overall, it was very rewarding to see the industry be recognized as a great business, to be able to serve our customers and help relieve the stress that they feel in their life events, and for our CubeSmart teammates to be able to deliver the positive results we are all here to speak about today. It is an exciting time to be in our industry. The pandemic has introduced us to new customer segments. We have matured as a sector. This has resulted in many new shareholders, institutional investors and entrepreneurs entering our space. Many of these are our customers, our competitors and sometimes both. I believe we are living through a turning point in the perception of self-storage, and this time period will be viewed historically as the shift from a niche business to a respected core member of the real estate industry. Thank you, and I will turn the call over to Tim.
Tim Martin: Thanks, Chris, and thank you to everyone on the call for your continued interest and support. As Chris touched on, the fourth quarter wrapped up what was by almost any measure the best year in the history of the self-storage sector. Our team at CubeSmart was busy across all aspects of the business, and our strong team, platform and portfolio put us in a position to capitalize on the opportunities that incredibly strong operating fundamentals presented. Same-store performance for the quarter included headline results of 15.8% revenue growth, 4.2% expense growth, yielding NOI growth of 20.6% for the quarter. Average occupancy in the fourth quarter was 93.8%, and we ended the quarter with occupancy of 93.3%. Same-store revenue growth at 15.8% continued to be very robust with our markets in the Southeast and Southwest parts of the country leading the way. We continue to see the ability to push rental rates across the portfolio to achieve our growth. Strong operating fundamentals also led to solid performance across our non-same-store portfolio and our third-party management business during the quarter. Combining all of that internal growth, along with external growth, we reported FFO per share as adjusted of $0.58 for the quarter, representing 23.4% growth over last year. We remain active and disciplined in our pursuit of external growth opportunities, and the fourth quarter was a very busy quarter for our team on that front. During the fourth quarter, we closed on the $1.7 billion acquisition of LAACO Limited, the owner of the Storage West self-storage platform. This 59-store portfolio concentrated in Arizona, California, Nevada and Texas was a great strategic fit for us as it enabled us to acquire high-quality, well-positioned stores and to diversify our portfolio into several markets that we’ve historically been underweight in. Also during the quarter, we acquired 5 additional stores for $85.8 million, opened a development store in Massachusetts for $20.8 million, acquired a store in New York for $33.1 million in one of our joint ventures, and we sold a store in Texas for $5.2 million. Integration of all of these acquired stores is complete and went incredibly smoothly. So, a very active quarter on the investment front then, not surprisingly, leads to a very active quarter on the capital raising front. We funded our growth in a manner consistent with our conservative investment-grade balance sheet strategy. During the quarter, we completed an equity offering of 15.5 million common shares at $51 a share, raising net proceeds of $765 million. We also issued over $1 billion of unsecured senior notes in two tranches: a $500 million issue of 10-year bonds with a 2.5% coupon; and $550 million of 7-year bonds with a coupon of 2.25%. Proceeds were used to fund our investment activity and also to redeem $300 million of notes that were due in 2023. So, that’s obviously a lot of moving pieces. We detailed all of this in our supplemental package that we released last evening. But importantly, it all adds up to us being in a great position from a balance sheet perspective entering 2022. We funded the meaningful growth we experienced at the tail end of ‘21 and are prepared to be opportunistic going forward if we can identify attractive opportunities that will allow us to continue to execute on our disciplined growth strategy. Looking forward, details of our 2022 earnings guidance and related assumptions were included in our release last night. Our 22 same-store property pool increased by 17 stores. Consistent with prior years, our forecasts are based on a detailed asset-by-asset, ground-up approach and consider the impact at the store level, if any, of competitive new supply delivered in 2020, 2021 as well as the impact of 2022 deliveries that will compete with our stores. Embedded in our same-store expectations for ‘22 is the impact of new supply that will compete with approximately 35% of our same-store portfolio. So, from a trend line perspective, you’ll recall that when we first introduced this metric back in 2017, we had 25% of our stores being impacted by supply. That 25% grew to 40% in ‘18, then grew again to 50% in 2019. We then started to see the impact decline as impacted stores fell to 45% in ‘20, 40% last year and now in 2022, we see that coming down to 35%. So, we’re continuing to see signs of a lessening impact from new supply as we move forward. Our FFO guidance does not include the impact of any speculative acquisition or disposition activity as levels of activity and timing are very difficult to predict. So wrapping up prepared remarks. Thanks to all of our hard-working and talented teammates who helped lead us to the successful execution of our business objectives across many, many fronts in 2021. It was indeed an extraordinary year for the sector and for our company, and we’re energized and ready for 2022. Thanks again for joining us on the call this morning. At this time, Jason, let’s open up the call for some questions.
Operator: Thank you. [Operator Instructions] Our first question is from Juan Sanabria with BMO.
Juan Sanabria: Just curious what you guys are seeing with regards to the geographic trends post-COVID. You mentioned the Acela corridor kind of normalizing first. So, just curious if you could maybe just elaborate a bit on that and what you’re expecting in the other regions as we get further along into ‘22.
Chris Marr: Sure. This is Chris. As I mentioned, when you think about those markets, Boston, Connecticut, New York, Philadelphia, Washington, D.C., they all seemingly in about the second quarter of last year returned to more normalized seasonality. And we started to see more typical consumer trends there, and obviously, sooner than what we have experienced in the Sun Belt and the West Coast market. So, as we think about going into 2022, embedded in our range of guidance is an expectation that we will see those West Coast and Sun Belt markets also begin to demonstrate more typical seasonal patterns. And we expect -- we expect those to join the club, I guess, in that respect. So, that sort of underlies how we think about things. So, again, when you think about what does that mean market by market, those markets that have been slower to return to the more normal seasonal pattern and also have the toughest comps, we would expect to see their growth rate in ‘22 slow potentially at a little bit of a faster rate than those in the Acela corridor that have already had a couple of quarters of that more typical experience under their belt.
Juan Sanabria: And then, just hoping you could kind of give us an update on the supply picture in New York and whether you have any visibility into ‘23 and how that’s changed over the last couple of years. And when do you think that market could turn to becoming a strength at one point, again, hopefully soon?
Chris Marr: Yes. Thanks for the question. So, again, it is, I think, most helpful to look at that by submarket. So, again, a couple of data points. Not to overwhelm folks with numbers, but it is unique and different by borough and then when you consider Westchester, Long Island and Northern Jersey as part of the MSA. So, the Bronx saw the supply more rapidly than the other boroughs. Going all the way back to 2016, we had six new openings, and then it began to decline from there. We didn’t have anything open in 2020. I think there was one new store in ‘21 and expectation of one, maybe two, in 2022. So you go out to ‘23 at the moment, really nothing on the docket. So, I think that’s at one end of the analysis. When you think about then Brooklyn and Queens, really more impacted at the moment. So, in Brooklyn, we’ve seen quite a number of stores being introduced consistently over the last three years, running at a pace of about five new openings a year for 2020, ‘21 and ‘22 expected. And then again, as we look out into ‘23, don’t see much, if anything, again opening in Brooklyn, assuming again these 22 stores, the 4 or so that are on the docket, get finished. Queens, very modest, right? Hardly anything in -- one store in ‘18, two stores in 2020. Right now, there are a total, I believe, of 10 new openings expected in Queens. Assuming they all open in ‘22, we see a sharp drop-off again there in ‘23. Queens a little bit unique in that from a zoning perspective and just the way the borough is laid out. That new supply in Queens does not have as much of an impact, however, on the existing stores, given that you have some stores and Queens that are opening in pockets that don’t currently have either a CubeSmart or much self-storage supply. Westchester, Long Island, Northern Jersey, I think you see a pretty sharp increase in stores there over the last couple of years running in that entirety of those 3 -- in those 3 areas running in the 25 to 35 per year delivery pace. Expect that to continue into ‘22. So, I think from the borough perspective, we think that impact in the Bronx is behind us, to some degree. The impact in Brooklyn and Queens is likely most acute this year. And then declining the impact in Westchester, Long Island and North Jersey likely will be felt into ‘23. So, we’re optimistic. We think our team in New York is best in class. We think our team is maximizing the opportunity in New York. And in the MSA more broadly, it’s held up quite well, in spite of the supply, in spite of the fact that, arguably, New York City was impacted most acutely by the pandemic. So, we’re pretty proud of the performance we’ve been able to do there and are very optimistic as we look out into ‘23 and ‘24 that this impact, particularly of supply, will be behind us and we’ll start to see the benefits of that decline in supply.
Operator: Our next question is with Elvis Rodriguez.
Elvis Rodriguez: Just a follow-up on Juan’s question. Can you speak to the demand picture? I know you said it’s sort of stabilizing, but the New York City demand relative to what you’re seeing in the Sun Belt and given the tougher comps in some of those Sun Belt markets, is it that tenants are now -- some of these perhaps population shifts that happen to the Sun Belt starting to return back to New York as a result of things opening up, or is it some other things that are driving demand in New York? Thanks.
Chris Marr: Yes. Thanks, Elvis. Thanks for the question. So, demand trends in New York have been very positive here over the first two months, certainly, of 2022. When we think about rentals versus last year in those markets were up pretty well in terms of the performance here in the first couple of months. So from that perspective, demand has been there. I think the general overall behavior in New York has ebbed and flowed, quite frankly, with COVID. We saw a period, certainly late last year when the variant was most acute, where we just saw very little movement in the boroughs. So, rental volume was lower, vacate volume was lower effectively. Our in-place customers were staying put. We were seeing some new but not anywhere near the typical churn. Things have started to come back to be a little bit more normalized here as that variant seemingly is in the rearview mirror, and we’re starting to return to more normal. We look at housing in New York, and the trends are quite positive. You’re seeing pretty good movement in rental rates on the multifamily side. You’ve seen good movement like you’ve seen in the rest of the country in terms of home values. And if you’re walking around, particularly in Manhattan or in the outer boroughs, there are -- while there is a limited return to the more typical in-person in office, the population on the street is moving. Things are seemingly returning to some more normal patterns. So, I think we saw in Q2 of last year, again, in that Boston down to Washington, D.C. and then we saw it over the course of the summer a bit more of the more normalized pattern of behavior. And as I said in my opening remarks, we expect that to gradually return to the rest of the country as well.
Elvis Rodriguez: Thanks. And if I could just follow up. I think you mentioned that things are going well here, maybe in New York and in the region. Can you share occupancy to date perhaps relative to last year at this time in New York City and then as a whole for the portfolio?
Chris Marr: Yes. The occupancy, again, obviously, we have a change in the same-store pool. So, on a -- relative to last year in terms of basis-point changes, the overall same-store pool as of yesterday is up 10 basis points in physical occupancy over where it would have been at this point last year. So, a little bit of improvement from the flat we were at, at the end of the year. In New York, we are up over this time last year, close to 75 basis points in physical occupancy versus where we were yesterday last year.
Operator: Our next question is with Todd Thomas from KeyBanc.
Todd Thomas: My first question is around the guidance for Storage West. I appreciate the breakout there of the expected accretion in the guidance. Has anything changed regarding the outlook for that portfolio since the initial deal was struck and you underwrote the portfolio just given the lifting of price restrictions?
Tim Martin: The magnitude of the accretion that we talked about when we first announced the deal and what’s embedded in our guidance is unchanged. I would say the only thing that has changed is our increased confidence in that guidance, given the fact that we now have the stores integrated into our systems. We have all of our teams in place, and we have a couple of months of performance under our belt. So, range is unchanged, confidence level is higher.
Todd Thomas: Okay. And how much of the portfolio is operating in markets that were price-restricted? Just curious if you could discuss that and maybe break out the portfolio a little bit to help us understand.
Tim Martin: On Storage West or the broader portfolio?
Todd Thomas: Storage West.
Tim Martin: On Storage West. Yes, very little was under specific restriction at the time that we acquired it. There may have been a little bit that had impacting the prior owner earlier in 2021, perhaps in some of the California markets. But it certainly was not a meaningful component of our underwriting. I think what we saw across the board, and we talked about a couple of months ago with the transaction announcement, is that this -- it was a well-run portfolio by the prior platform. But what we saw was an opportunity where they had pushed rates in some markets 10% or 12% in those same markets. For our similar stores, we had pushed rates 18% to 20%. And so, what we saw and what was embedded in our underwriting, certainly for the first year and then perhaps even more so as we think about 2023, is the fact that we think that under our platform, there was a little bit of opportunity there to push on rate a little bit more than that had been pushed on throughout 2021. But not so much, Todd, specifically to governmental restrictions.
Todd Thomas: Okay. That’s helpful. And then, I wanted to ask about the third-party management platform. I realize activity can be chunky quarter-to-quarter, and there’s a lot of transaction activity that’s impacting some of the ins and outs there. But I just wanted to see if you have visibility around stabilizing and growing the platform and what your goals are in ‘22 for that.
Tim Martin: Yes. Our goal -- thanks for the question. Our goals are to continue to do a great job providing the services that we’ve been hired to do. And in some cases, especially for some of the stores that we have onboarded on to our platform over the past two, three, four years that were development stores or lease-up stores, the market has been very supportive about our platform. And our teams have done a really good job at leasing up those assets, stabilizing the value and helping to create a good backdrop for some of our third-party owners to bring their stores to market and transact. We would love to acquire as many of them as we can, but we’ll obviously do so only at prices that make sense and fit our underwriting criteria. So, what we know we want to do is to continue to provide that great service. When you try to translate that into how many stores do we think are going to add to the platform, how many stores do we think are going to leave the platform, awfully difficult to predict obviously. But we do think, and we started talking about this probably a year or two ago, that we certainly started to expect that we’re going to see a churn, given how deep we are in the development cycle and that as we had talked about, as we’ve been adding about 200 stores a year to the platform for a couple of consecutive years. And you’ll recall that 50% to 60% of those stores were newly developed stores that was going to lead to opportunity and also lead to churn down the road. And that’s what we experienced in ‘21, and we’re pretty confident that we’ll continue to experience that into ‘22. So, we had a good year on boarding new stores that we can control from a new business development standpoint, from a referral standpoint. And our team continues to do a great job to demonstrating to new potential customers and to existing customers to expand and add more stores to our platform. We are a platform of choice that can add an awful lot of value to their platform. That we can control, and I think we can continue to add well over 100 -- between 100 and 200 stores a year onto the platform, continues to seem to be achievable. It’s the stores coming off the platform that we don’t have a ton of visibility to.
Todd Thomas: Right. Got it. And so the $30.5 million to $32.5 million of property management fee income that’s in the guidance, what does that assume for the total third-party management contracts throughout the year? Is there any change from year-end, what was reported?
Tim Martin: Our guidance assumes that there is some churn and that there is some change in some stores coming on, some stores coming off. And so, there’s a range there from what would be a flattish type of year for change in store count to slight growth.
Operator: Our next question is with Ki Bin Kim from Truist.
Ki Bin Kim: I just want to go back to your comments about more normalization in the Acela corridor. If I kind of look at what’s happening, not everyone’s back to the office quite yet. So, as that moves further along, if you could just provide some more color around what that might eventually look like as more people go back to the office, and what that might be for some of the pricing trends you’re seeing in that corridor.
Chris Marr: Yes. It’s an interesting question, Ki Bin, because I’m not -- it would help at the margin in terms of some of our small business customers having better visibility into their businesses, reopening their businesses in some instance. The folks who make a living as a result of folks being in the office, it’d be a big positive for them. I think, again, our assessment from the folks on the ground and talking to our customers, and this is probably more true in Manhattan because of the sort of the ins and outs there and the nature of the work there than it is in the outer boroughs. Most of these folks are living there, right? I was wandering around the Chelsea market meatpacking area, and you think about that 1 million square feet that Google leases in that area, not very many people are in the building, but they certainly all seem to be out on the street or in the coffee shop. So they’re there, which I think is a positive. I think the opportunity to get a bargain on an apartment seemingly looks behind us. And so, as we move forward, does that create, again, an opportunity for storage? Has folks think about having to take a room made or potentially rent something smaller? I think that’s a positive. So the reopening of the offices and the commutes creates movement, which ultimately is always positive for our sector. I’m not sure that’s like a seminal event that’s going to create some sort of sudden change.
Ki Bin Kim: Got it. And can you provide some details around what’s happening with the D.C. market? Obviously, being up, I think it was 8% or so is fantastic because, not as great as some other markets. I was wondering if it’s a supply or some other peers kind of stabilized assets issue or something else.
Chris Marr: Yes. Thanks for the question. So again, it’s a submarket issue. So, if you think about that MSA being Maryland, which for us is primarily Prince George’s County and then the Northern Virginia suburbs and then Washington, D.C. itself, Maryland is performing pretty well. Over the last fourth quarter into this quarter, they’re still seeing low double-digit same-store revenue growth. Washington, D.C., we have five stores. Every single one of them has at least one new competitor. So, that is the drag for that MSA. Those five stores embedded in our guidance is little to no same-store revenue growth for 2022. And we certainly experienced the impact of that competition in Q4. So that is at one end, PG County and the Maryland suburbs at the other. And Northern Virginia, depending upon your pocket, is sort of somewhere in the middle. We’ve got new supply impacting us in Fairfax County, in Arlington County. And then, some of the other areas of Northern Virginia are doing really well, don’t have that supply impact. But, at the -- the overwhelming answer to your question is the five stores in D.C. proper.
Operator: Our next question is with Samir Khanal with Evercore.
Samir Khanal: Chris, just on kind of the normalization of return to office. I mean, what’s sort of baked into your guidance from a -- when you think about that seasonal moderation that you’ll have in the second half, kind of that summer peak to the end of the year, I mean, how much of a decline in occupancy are you thinking for the overall portfolio? Maybe you can quantify that and especially as it relates to New York.
Chris Marr: Yes. Thanks for the question. When you think about what’s underpinning our guidance is that the overwhelming majority of our growth in same-store revenues is going to be derived from rate. So, when we think about occupancy across the portfolio -- and it’s really not materially different market by market. Obviously, some of the West Coast markets that are 96%, 97% occupied, we think, are going to decline. But for the markets that have normalized, I think that occupancy trend is, again, it’s always going to be predicated upon what’s the opportunity that presents itself on any given point in the cycle. But we would expect to see occupancy versus last year up, at points in time could be up 50 to 75 basis points, could be down 50 basis points, but moving within that range. And again, typical seasonal pattern is what we expect. So, we see occupancies moving in a positive direction, rates moving in a positive direction, basically from this coming Monday through the end of July. And then, we would expect that the back half of the year, you would see that more typical seasonal pattern of some occupancy pullback and some rate pullback. So, not -- obviously, we do a ground-up budget. It’s different property by property, market by market. But overall, I think, the normalization, as I said, has been there in the East Coast, and we expect it to gradually return the rest of the country.
Samir Khanal: Got it. And I guess my second question is around just sort of the marketing expenses for this year. I know you guys are still spending on marketing while others were sort of cutting back last year. How do you think about marketing for ‘22? And will you start to see some of the benefits come through this year from the spend you did last year?
Chris Marr: Yes. So, again, that’s one of those variable costs that it is certainly -- is certainly variable depending upon how we see the returns. If you think about what’s embedded in our expectation for this year, it would be for some pretty good growth given where we were in the first quarter of last year. So really, it’s a comp in the first quarter. And then seeing that normalize is our current expectation to much more modest growth as we get into the second, third and fourth quarters of the year. So, overall, for the year, we don’t expect it to see the same sort of overall increases on a percentage basis that we experienced in 2021. Again, I have to caveat that one with we make decisions on -- really on a weekly basis as it relates to where there are opportunities. Some of that will depend upon consumer behavior. We are starting again to see this shift away from what had been a return to desktop and back to mobile, which I think is just indicative of a gradual reopening of society, and again, also where our competitors choose to play. We saw some good opportunity last year where some of our competitors were out of the bid market, and we thought we could take advantage of that, spend a little bit more on the marketing side but get higher rate. And again, I think when you look at our realized rent for the year and our same-store revenue growth quarter-by-quarter, going back to second quarter of 2020, I think those decisions paid off well for us.
Operator: Our next question is with David Balaguer with Green Street.
David Balaguer: Just wanted to touch on lease duration within the portfolio and how that’s changed since pre-COVID levels. Are there any numbers that you can share with us on average lease duration? And would you expect that to revert back to normal with normalized seasonality patterns?
Chris Marr: Yes. Great question. So, I think, one way to think about customers perhaps is trying to draw an analogy, and this might be the best one I’ve been able to come up with or the team has been able to come up with between a natural disaster, so to speak, and the pandemic. So, when you think about a hurricane sort of oriented customer in South Florida, we see a big surge in demand when the storm is approaching. Some of those customers are simply bringing outdoor furniture to storing. And when the storm passes, they go back and they take their goods out of storage and bring them back to their house. So, they’re very short-term customer. We have other customers who experience some sort of damage unfortunately and bring their dry possessions to us and store them. And then, they tend to stay longer, obviously, than that short -- very short-term customers, some of them tend to stay very, very long as maybe they buy new items or it takes longer than expected to get the insurance claims settled and get all the damage fixed, et cetera. I think, we have a little bit of an analogy to that to the pandemic customers. Some of them came to us, had some shorter-term needs and were with us for a short period of time. Others have either found the product to be very helpful to them, have changed how they think about their residential options and have stayed with us for a lot longer than perhaps we would have expected at the beginning of the pandemic. So, if you think about it just from a numbers perspective, about 60% of our customers have been with us greater than one year, and that’s up about 600 basis points from prior numbers. And about 40% of our customers have been with us for over two years, which is up about 400 basis points from prior levels. So, we’re starting to see some -- the customer has definitely been with us for a longer period of time, but it is starting to trend back to a little bit more normal behavior. We are seeing a pickup in some of those 30-day-type customers.
David Balaguer: Got it. Thank you. That’s helpful. And I wanted to touch on national supply. I don’t know how closely you follow the data providers out there, but with development delays, it just seems like there’s opportunity here for sort of double-counting and the national supply data that’s out there. Just with what you’ve seen on the ground, is that accurate?
Chris Marr: Meaning deliveries that were expected in the fourth quarter of -- or in ‘21 bleeding over into ‘22?
David Balaguer: Yes. It just seems as a track sort of national data around supply deliveries. With what we’re hearing with development delays, it just seems like perhaps some deliveries are being double-counted. So some that were expected in ‘21 that were delayed into ‘22 that perhaps the ‘21 figures aren’t revised. Just wondering if you had any color on that from your perspective.
Chris Marr: Yes. I mean I would agree. We don’t spend a ton of time on the national. We spend a lot more time obviously looking at our top 12 markets. But conceptually, yes, we would agree. There was quite a bit of delay in the back half of ‘21 pushing things to open in ‘22. And as we think about it why we tend to look more at the rolling three years, because whether it gets delivered in November or December of ‘21 or it gets delivered in January, February and March of ‘22, the impact to those surrounding properties is the same. So, yes, no doubt, there was -- there’s always that slippage. I think it was likely, as you suspect, pronounced in ‘21.
Operator: Our next question is with Smedes Rose with Citi.
Smedes Rose: I was just wondering if you could maybe talk a little bit about what you’re seeing for property taxes in 2022 and how you think those will increase, and if there’s any particular -- or worse than others?
Tim Martin: No. It’s the typical cast of characters and markets that we always talk about. And it really feels like the same answer that we’ve provided now for, gosh, five straight years, which is you continue to see pressure across many, many markets, primarily driven by the fact that you’ve had significant growth in NOI. You’ve had cap rates that have either held or compressed. And you just have a lot of evidence for tax assessors to look at increasing assessed values. And so, we’re seeing -- we’re certainly not seeing any relief anywhere. You have -- we’ve been talking now for several years that an expectation for the sector of increases in that 4% to 7% range has been where we -- our heads have been here for the past several years, and our expectation for our portfolio in 2022 is in that range and towards the higher end of that range. So, we continue to look to challenge those assessments. We have some successful results here and there, but the typical cast of characters -- Cook County is certainly a standout on the high end, but it’s fairly broad-based where you’re seeing pressure.
Smedes Rose: Great. Okay. And then, I’m just wondering, as you look at the acquisitions potentially in 2022, would you focus on building out around where the Storage West platform is in place to build incremental sort of critical mass there, or would that not be the case?
Tim Martin: I think that gives us a great opportunity to look to continue to add and look for infill locations in all of those markets. I think, once we -- now that we have established, a deeper presence in each of those markets, I think our intel is better. I think our underwriting is better. I think we are a more natural buyer for many of those opportunities. And then, obviously, the efficiencies of adding a store in those markets increases. So, we’ve always looked in those markets. We will continue to look in those markets. I think perhaps we’ll find a few more opportunities now given our deeper presence than we had in the past.
Operator: Our next question is with Mike Mueller from JP Morgan.
Mike Mueller: Chris, you made the comment about customers wanting, I guess, more personalized services. I’m wondering how does that tie with the trends where you’ve seen more online over time, the contactless rentals and that dynamic?
Chris Marr: Yes. Great question. So, they’re not mutually exclusive. So, when we think about that personalization, it is both, the customer who prefers a digital experience and that customer who still prefers to come into the store. So, we have quite a number of initiatives that we are exploring this year that are designed to be able to meet the customers’ desires at both ends of that spectrum. So, it’s thinking about the funnel on the website and how do you help the customer in a more personalized way, be able to select the appropriate size for them and the store in their submarket that meets their needs the best, how you think about offering them alternatives that they may or may not intuitively understand in terms of the location of the cube within the store, how do we make it a more seamless experience and a more personal experience in terms of how they are introduced to the store if they come through the digital platform, how do they access the store. It’s basically saying, how can we make it generally a similar experience to the old pre-pandemic of our teammate walking out into the parking lot with a bottle of water and a handshake, how can we do that in a digital experience as well. And we have an array of some exciting things that we think will differentiate our service delivery in the future. And I think both, creates some opportunities for some incremental revenue growth as well as taking some costs out of our platform. So it’s a great question, but it really comes down to how do you make the digital experience a very similar personal one to what we’ve been able to do over our history.
Mike Mueller: Got it. That makes sense. And second, can you give us a sense as to what the move-in rates versus the move-out rates were in the quarter?
Chris Marr: Yes. Give us one second here. I think the pattern from a big-picture perspective is we shifted last year from that anomaly where we were seeing customers move into the portfolio at a higher rate than those who are moving out. We have -- we began in the latter part of the third quarter, fourth quarter of last year to see that typical churn where the move-in customer is down a bit from the move-out customer but less than what we had seen more normally. So you’re in that 5% to 7% type delta between the move-in and the move out on the downside, which is about 60 basis points better than what we had seen.
Operator: Our next question is with Kevin Stein with Stifel.
Kevin Stein: Good morning. I know labor has been a challenge in the New York City area. I was just wondering if you’ve seen any changes there, if that’s had any impact to the store performance there. Thanks.
Chris Marr: Yes. Thanks for the question. So, it continues to be a challenge in terms of the sourcing, attracting and recruiting new teammates in the stores. Our existing teammate population continues to give us great service, continues to serve their customers quite well. So, it is -- I’m not sure if the overall marketplace is any better or worse than it was a few months back. I think, we have just more likely gotten used to this being the new normal. And our internal teams, our recruiters, et cetera, have found different ways to attract new teammates and have certainly adjusted to the pace at which one has to move a candidate through the process and either make them an offer or move on because they have so many other alternatives. So, I think from a cost perspective, again, we were a total reward payer to our store teammates at the higher end of our peers. So, we have not seen the need to perhaps move rate or do some things that some of our other peers have had to do on a larger scale.
Operator: There are currently no further questions registered at this time. [Operator Instructions] There are no further questions waiting at this time. I would now like to pass the conference back over to the management team for closing remarks.
Chris Marr: Okay. Thank you, everybody. Great call. Really appreciate the thoughtful questions. As I said, we are incredibly excited as a company, incredibly excited as a management team for 2022 and for really everything that is happening in our industry. I couldn’t be more proud of how the team has performed, couldn’t be more excited about the opportunities that lie in front of us. And we look forward to updating you on our progress as we move throughout the course of 2022. Continue to be safe. And we look forward to speaking to all of you in a couple of months. Take care.
Operator: That concludes the CubeSmart fourth quarter earnings call. Thank you for your participation. You may now disconnect your lines.